Operator: Good day, ladies and gentlemen. Welcome to the Alamo Group’s Third Quarter 2014 Earnings Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator Instructions) This conference is being recorded today, Thursday, November 6, 2014. I will now turn the conference over to Mr. Bob George, Vice President of Alamo Group. Please go ahead, Mr. George.
Robert H. George: Thank you and good morning. By now you should have received a copy of the press release. However, if anyone is missing a copy and would like to receive one, please contact us at (212) 827-3746 and we will send you a release and make sure you’re on our company’s distribution list. There will be a replay of the call, which will begin one hour after the call and run for one week. The replay can be accessed by dialing (1888) 203-1112 with the passcode 8763937. Additionally, the call is being webcast on the company’s website at www.alamo-group.com and a replay will be available for 60 days. On the line with me today are Ronald Robinson, Chief Executive Officer and President; Dan Malone, Executive Vice President and Chief Financial Officer; and Richard Wehrle, Vice President and Corporate Controller. Management will make some opening remarks and then we will open up the line for your questions. Before turning the call over to Ron, I’d like to make a few comments about forward-looking statements. We will be making forward-looking statements today that are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause the company’s actual results in future periods to differ materially from forecasted results, among those factors which could cause actual results to differ materially are the following, market demand, competition, weather, seasonality, acquisition risks, currency-related issues, and other risk factors listed from time to time in the Company’s SEC reports. The Company does not undertake any obligation to update the information contained herein, which speaks only as of this date. The Company will file its 10-Q today. I would now like to introduce Ron. Ron, please go ahead.
Ronald A. Robinson: Thank you, Bob, and we want to thank all of you for joining us today. Dan Malone, our CFO will begin our call with a review of our financial results for the third quarter of 2014. And then I will provide more detail on the performance and outlook of our Industrial and Agricultural Division, as well as our European operations. Following our formal remarks, we will look forward to taking your questions So, Dan, please go ahead.
Dan E. Malone: Thank you, Ron. Before we get into the numbers, I would like to remind you that our 2014 third quarter and year-to-date results are heavily impacted by the operating results of recently acquired companies and certain non-routine expenses such as acquisition-related legal and transaction cost and HP’s accelerations of stock option vesting, both of which we noted in our second quarter 2014 results, as well as non-cash charges related to third quarter 2014 sales of acquired specialized inventories, which were subject to a step up to fair value in the initial purchase price allocation. That said, I’m pleased to say that Alamo Group’s third quarter 2014 sales and net income were both company records. Third quarter 2014 sales of $233.2 million represents a 33% increase over the third quarter of 2013. Excluding acquisitions third quarter 2014 sales were $187.4 million, an increase of 7% over the prior year quarter. Net income for the third quarter was a record $13.4 million or $1.10 per diluted share, compared to $11.3 million or $0.93 per diluted share in the third quarter of 2013. Excluding the non-routine expense as previously mentioned, net income for the quarter would have been $14.2 million or $1.16 per diluted share. Nine-month 2014 sales of $610.8 million, represents a 19% increase over the prior year nine-month period. Excluding acquisitions nine-month 2014 sales were $540.6 million, an increase of 6% over the comparable nine-month period in 2013. Net income for the first nine months of 2014 was $29.8 million or $2.43 per diluted share compared to $30.1 million or $2.47 per diluted share for the comparable prior year period. This decline was primarily due to weakness in our second quarter results. Excluding the effects of the previously mentioned non-routine expenses, nine month 2014 net income would have been $32.3 million or $2.64 per diluted share. The operating results of our recent acquisitions, net of related interest expense and income taxes contributed $2.2 million to third quarter 2014 net income or $0.18 per diluted share. For the nine month period, this net income contribution totals $3.5 million or $0.29 per diluted share. In Alamo’s Industrial Division, third quarter sales of $125.9 million represent a 75% increase compared to the prior year third quarter and year-to-date sales of $308.3 million represents a 41% increase over the prior year nine month result. Excluding acquisitions, third quarter Industrial Division sales were $83.9 million, an increase of 17% over the third quarter of 2013 and year-to-date sales were $247.3 million or 13% higher than the same period last year. Agricultural Division 2014 sales were $57.7 million in the third quarter and $160.1 million for the nine month period down 6% and 5% respectively from the comparable prior year periods. Excluding acquisitions, 2014 third quarter and nine month sales in this division were $56.5 million and $156.8 million respectively both of which are down 7% from the comparable prior year period. Our European division’s third quarter sales were $49.6 million, an improvement of 19% over prior year third quarter, and their year-to-date sales of $142.3 million represents a 14% increase over the prior year nine months result. Excluding acquisitions, third quarter sales in this division were $47.1 million, an increase of 13% over the third quarter of 2013 and our nine month sales were $136.5 million a 10% increase over the comparable nine month period. During the third quarter, the company’s gross margin up $55.6 million exceeded the prior year’s gross margin of $43.2 million due to the contributions of recently acquired companies. Without acquisitions, our third quarter gross margin was $42.8 million, down slightly from prior year as Agricultural Division volume shortfalls offset favorable comparisons in the European and Industrial Divisions. Gross margin as a percentage of sales was 23.9% in the third quarter of 2014 compared to 24.7% in the prior year third quarter. Gross margin percentages were affected by volume shortfalls and unfavorable product mix in the Agricultural Division. The non-routine charge related to the specialized inventory step-up and an unfavorable product mix affect caused by tractor, chassis and wholegoods sales growth significantly outpacing the growth of higher margin, spare and wear parts sales. Partially offsetting the above comparisons are our improving margins in our European Division and the higher gross margin percentages of the recently acquired companies. In the third quarter, SG&A expense increased approximately $6.1 million over the prior year quarter, due to $6.4 million of operating expenses incurred by the recently acquired companies. Third quarter 2014 SG&A as a percent of sales decreased to 14.5% from 15.9% for the same prior year quarter. For the third quarter, interest expense increased $1.2 million over prior year, primarily due to increased debt necessary to fund the acquisition of the specialized business units. Our average third quarter 2014 effective income tax rate up 34.8% compared unfavorably to the 27.4% effective tax rate for the third quarter of 2013, primarily due to prior year adjustments for tax reserves. Excluding the effects of the prior year adjustments, our current year tax provision still trends a little higher than prior year as we continue to assume no congressional renewal of R&D tax credits and our most recent acquisition has shifted the mix of our consolidated earnings for higher tax U.S. jurisdictions. We ended the third quarter 2014 with debt net of cash of $152.2 million, which is little changed from the $151.9 million net debt level as of June 30, 2014. This is due to the fact that our cash flow provided by operations during the quarter was offset by the $34.2 million of cash used in the repurchase of 849,690 shares from our largest share holder Capital Southwest. In summary, our record 2014 third quarter sales of earnings resulted from strong sales in earnings contributions from our most recent acquisitions, significantly improved results from our European Division, continued growth in our Industrial Division even excluding the effect of acquisitions and management actions in the Agricultural Division to mitigate the earnings impact of lower sales volume. I would now like to turn the call back over to Ron.
Ronald A. Robinson: Thank you Dan. I’d just like to make a few additional comments about the quarter that Dan covered already quite well. And then just open it up to some questions. As everyone can see certainly about the numbers our third quarter results came in nicely and was a good rebound from our second quarter results. In the second quarter we had high level of transaction related expenses and less than a full quarter of contribution from the acquisition of Super Products, Wausau-Everest the main elements of the specialized acquisition. So this contributed nice and then here in the third quarter they contributed very nicely to our results which were more in line with our expectations from when we made the acquisition to begin with. But certainly the results of the third quarter were about a lot more than just the acquisitions. Even excluding the units of specialized or Industrial Division had a very good quarter, with sales were up 17% as all product in the division experienced solid demand for our range of infrastructure maintenance equipment. And this sector seems to be benefiting from growth in the overall U.S. economy and gradually improving budget conditions or governmental entities which are our main customer in that sector. We were also pleased to see some similar improvements in the results of our European Division, where sales were up 13% even before the effect of the acquisition of Kellands over there and this was particularly welcomed given that certainly the European economic situation remains weak. And I think our improvements reflect sort of the stability and the demand for our pipes products over there as we’ve seen even in the challenging times in the U.S. Our Agricultural Division did remain soft with sales down 6% in the third quarter. But even being down 6% we be this a little bit better than the overall agricultural market where others are seeing sort of double digit increases in sales. And we believe we managed the soft agricultural market conditions better in the third quarter than we actually did in the second quarter, so there was less of a negative impact on our overall results due to tighter cost control and as I said in sales that fall down, we’re not as much down as some other companies in that sector. Certainly another major event for the quarter was the repurchase of 7% of our outstanding share from our larger shareholder. And these shares have now been retired and will permanently reduce our total shares outstanding. So in total, we’re pleased with the accomplishments in the third quarter, and the record results that that resulted in. And I think this shows a lot about the strength and stability of our core business, as well as the accretion potential from our recent acquisitions that as I said I think, which were not fully evident in the second quarter, but became more evident here in our third quarter results. Further, we were able to produce these results in spite of really continuing a number of continuing headwinds including the agricultural market that remain soft. The ongoing weak European economy and still being in the early days of our biggest acquisition in the integration process there which is still ongoing, so in spite of those, I think it shows the strength of our core business that we able to produce the kind of results that we were. So despite far from our deal conditions in the market we were up very nicely. We believe this performance in the second quarter bodes well for the future of our company and think that the outlook looks very good for Alamo Group and we appreciate your continued support of our company. With that, I think we’d like to close the formal part and open this up to any questions you all might have.
Operator: (Operator Instructions) And we’ll take our first question from Robert Kosowsky with Sidoti.
Robert Kosowsky – Sidoti & Company, LLC: Good morning, guys. How you doing?
Ronald A. Robinson: Yes fine. Thank you, Rob.
Robert Kosowsky – Sidoti & Company, LLC: Question on just a strength that you’re seeing on the industrial side of the business. I was wondering if you could may be give us a little bit more color as to which particular products might have had the best growth was it uniform. How the order book looks and the backlog looks going into the next year, and if it will signal had pretty good numbers to say yesterday. And then finally what you can expect for kind of municipal spending curve and whether or not this is like an unsustainable just a little bubble that’s going to moderating I guess as we go forward.
Ronald A. Robinson: So as a result, we don’t think it’s a blip. We think there is pretty good demand. I do not say we can’t be affected by changes in economic conditions, but I think there is a good stability in the demand for our products there and that it was like I say across all product groups within the Industrial Division. So we were pleased with that. And well, I guess we’ll be reporting on backlog but…
Dan E. Malone: Yes, we put it in the Q.
Ronald A. Robinson: In the Q, but you will see that our backlogs were up for the quarter.
Robert Kosowsky – Sidoti & Company, LLC: Okay, that’s very good. And then otherwise just your thoughts on what you’re able to do on the Agricultural segment to I guess narrow the impact of the down cycle and any views as to Ag into next year?
Ronald A. Robinson: Certainly, the overall Ag market remains soft. And I mean we were soft. I think there are some specific geographic areas for us like Western Canada and all that was a little soft certainly – some export sales we have done from our Ag Division even to places to like Russia and the Ukraine are certainly very soft right now. So, I think those – but our normal domestic business is certainly holding up a little bit better than some of the bigger ticket items like bands that are tied to the row crops. Certainly, some executives of the Ag industry like ranching in cattle are actually doing – having a pretty good time of it. Crop prices are – the row crops like corn and all are still down, but I think farm incomes this year will actually certainly won’t be the records they would have been for the last couple of years, but I think we’ll actually be still well above the ten year average. So I think farm incomes are not in too better shape. I think that – I would say specific items – ticket items will be a little bit more impacted than more or some general purpose implements then they have lower general sticker prices such as our type of equipment. Our implements in that sector are holding up better, but certainly still being impacted somewhat by the Ag situation. I think the other key thing and probably versus the second quarter, we just dealt with it better. I mean I think we did a little bit adjustment in cost and we’re able to bring our cost more in line with where they need to be with the slight reduction in volumes than we did in the second quarter. And so, I think both of those things – I think Ag will stay soft as a sector in total certainly well into next year. I think that lease shall wear a little bit – won’t be quite as much impacted and now that we’ve got our cost a little bit better under control, I think we’ll do a little bit better than the average in there, but certainly we’ll still be affected.
Robert Kosowsky – Sidoti & Company, LLC: Okay. And then finally, do you see yourself just using all the cash flow you’re going to get in the fourth quarter? Just a quick update on that.
Ronald A. Robinson: Yes. I mean, other than normal need for some CapEx and for dividends of these types that would be – the main use of our cash generation is to pay down debt in short-term.
Robert Kosowsky – Sidoti & Company, LLC: All right, thanks very much. Good luck.
Ronald A. Robinson: Thank you.
Operator: We’ll take our next question from Wayne Archambo with Monarch Partners.
Wayne J. Archambo – Monarch Partners Asset Management, LLC: Hi, good morning. Great quarter. Could you just give us some better sense on your business in Europe? It seems like you’ve been able to differentiate yourself in Europe with respect to the back drop of an economy that’s floundering around. How you have been able to do that?
Ronald A. Robinson: Well, I think Europe in total is still struggling quite a bit, but I think the type of products we sell there, which are used in both Ag, which even though Ag is tight there too like it is here, it still goes on at some basic levels. And in infrastructure maintenance or in governmental even when governmental budgets are very tight, they still have to maintain the infrastructure at certain levels. In fact, it is upset like many times – beyond their budgets, are still spending nearly as much as they were in good bit times with the governmental budgets. And I think things like the infrastructure maintenance is one that will certainly be effective, but nowhere near like their other capital budgets for new things like new role construction or something like that, they still have to maintain along – they have to plough and it snows and keep the storm drains open when it rains and maintain the highways, the right of ways and everything. So I think it’s just the nature of our products tend to have a little bit more stability. I think that we noticed within Europe I mean certainly our UK operations did much better than say our French operations and one thing I think that Southcorp UK operations is that they export a lot more than our French operations there. And I think that has helped them on too because they are offsetting some weakness in some of their domestic markets by exporting more into say like Eastern Europe and some other export markets. So I think we’ve kind of managed it better this year than we maybe have the last couple of years. I think we’re more right sized to deal with the economic situation in Europe. And I think the basic stability of our types of products has held up better than may be some of the overall economic areas have.
Wayne J. Archambo – Monarch Partners Asset Management, LLC: Great, thank you.
Ronald A. Robinson: Sure, sure.
Operator: We’ll take our next question from [John Kollar] (ph) with Oppenheimer and Close.
Unidentified Analyst: Good morning.
Ronald A. Robinson: Good morning.
Unidentified Analyst: My question related generally to cash generation and you’ve touched on it with debt repayment in the short-term. I was wondering how that’s going to be impacted by the share repurchase?
Ronald A. Robinson: Well, I mean certainly we spent a little over $30 million on the share repurchase, but I think the cash generated in the third quarter was not to really take care of that. So that became a wash in the third quarter. Of course, the third quarter is for us, one of our higher cash generation quarters. I mean a lot of our out of season selling programs get fully paid off in the Ag sector during the third quarter. So our cash generation is generally good there, but it was very good – and as a result, it was good in the third quarter plus even our cash flow from operations was good in the third quarter. And so like said we were able to generate a good bit of cash in the quarter, which totally offset the cost to the purchase of the shares. So I think in the long-term that repurchase was a good deal it helps us to better utilize our balance sheet, took a little stock off the table. And I think we’re in very good shape, but right now that we’re able to handle that. And the cash flow should – we believe should be good in short-term I mean that’s what – that’s being used for us to pay down debt, so.
Unidentified Analyst: Right. I think in the last call may be I misheard that you were targeting something around $50 million the payment that I misunderstand that. And then if we’re looking at them, so you’re looking at maybe around $15 million to $20 million in the shorter-term. Is that a fair adjustment or…
Ronald A. Robinson: No, I don’t remember sort of anything about $50 million in cash repayment.
Unidentified Analyst: Okay, sorry about that. Thank you.
Operator: (Operator Instructions) And we’ll take our next question from Mike Shlisky with Global Hunter.
Michael Shlisky – Global Hunter Securities LLC: Good morning guys.
Ronald A. Robinson: Good morning.
Dan E. Malone: Good morning.
Michael Shlisky – Global Hunter Securities LLC: I wanted to quickly touch here briefly on the life of that industry, clearly that’s an area that you’ve got some – and is doing very, very well this year given the high price of the beef and also high prices for dairy. I guess firstly I was wondering you know it’s been two straight years now at somewhat low corn prices, that’s been good for the guys who produce beef and chicken and so forth, we’ll see the supply of meat get a little bit more elevated and the price might come down. Is there any thought that in 2015 some of that access that you’ve been seen from that area this year might come off a bit next year if the prices of those commodities come down?
Ronald A. Robinson: I would say first of all we’re not too good at predicting Ag commodity prices and beef prices, but I think basically you’re right that the price of ranchers and beef producers, Gradall producers could softened a little bit because it’s had a very nice – very high level right now. But we also think that offsetting that could be some – I mean you know – a little bit – we’re already seeing a little bit improvement in corn prices. And so I mean I think that the short – there is a bit of a counterbalancing between the two and which I think bodes well for us like I would say a couple of years go row crop prices were very nice and beef was sort of depressed out as one went down, the other went up and I think there is a bit of counterbalance between those. And I think that bodes well for us because we feel that almost every farmer of rancher of any size has some – has to do some amount of maintenance of field and brush and everyone meet the more or some sort. So we believe there is enough sort of counterbalance and that’s why even today, we’ve held up a little bit better maybe some things like big combines. And I believe that even if there is a slight weakening in cattle and ranching, next year, we say – we think by the end of the year, we’re going to see some improvement in the row crop farm outlook. So we think it will counterbalance each other a little bit.
Michael Shlisky – Global Hunter Securities LLC:
Ronald A. Robinson: I really think all from corns, soya beans or something like that, there is also doing thing radical different, I mean, they go from one row crop to another not the orchids or something like this, as long as there is nothing radical. I think in all bodes like says that number of acreage under cultivation bodes well for us and that staying under pretty high level, and maybe I would say corns are that much better for us than soya beans or anything like that. So I don’t see that having a major impact on our results.
Michael Shlisky – Global Hunter Securities LLC: Okay, thanks. And then if I just trying to touch on snow removal here. Really first fall record for us, the size of that business notch to got all these other brands and they’re compared to where it was the four, as far as percent of sales. And also in (indiscernible) coming up here, at this point in time is it you may have ordered machines for this winter and is your overall snow business, you see more aligns on the prior winters, snowfall or people towards buying how quickly for this winter.
Ronald A. Robinson: Certainly, snow removal is a little bit bigger for us now with the addition of the loss or piece I mean, yeah I would say snow removal in total for us is pushing a $100 million, which is a nice piece for us. You’re right it’s about some of the, as far as new capital equipment it’s almost, it’s getting to the point where it’s getting too late to buy for this season and so you’re more affected sort of the last season, but we have had a good start to the season ever where, I think accept that airports, which seems to be soft, I think in general, I think it’s more funding issue. But we’re off to, we’ve had a good preseason or like those ground equipment we’re shipping has been good that’s been up for us. And we’re like certainly as we get into the winter I mean, that’s when we have the biggest consumption of spare parts for snow removal, which is more sold than new equipment deliveries and we think that bodes well because it’s expected to be a pretty reasonable winter and people seem to have used up a lot of their spare parts last winter. So I think we have to replace them at a fairly steady level. So all in all, but, yes, you’re right. Once you’re in the middle of season it’s too late almost to buy new equipment because they don’t want to buy it in January. They won’t be delivered till late March or April. So it’s sort of too late then. So that would be more effective, the build up to the following season.
Michael Shlisky – Global Hunter Securities LLC: Got it. Thanks guys. Appreciate it.
Ronald A. Robinson: Thank you.
Operator: And next we’ll take a follow-up question from Robert Kosowsky with Sidoti.
Robert Kosowsky – Sidoti & Company, LLC: Yes, just on the specialized industries, now you’ve had acquisition for three, four months, I’m wondering if you gave any ideas of investments or changes you want to make to the business in 2015.
Ronald A. Robinson: Certainly the acquisition is off to a good start, and I mean, we do have I think an issue of one operation there about capacity. So we’re probably going to be doing a little capacity expansion at one piece of that. Other than that we certainly have talked earlier about integrating them with us and we’re starting in the process of putting them off our operating platform, computer platform and still we’re integrating them into some of our benefit schedules and some HR issue. So the transformation to our benefits, insurance policies, everything, those type of integration things are ongoing. But other than a little capacity expansion there’s no – and I’d like to say these ongoing integration thing putting them on our purchasing initiatives and other things like that. It’s a bunch of little things that were going on with them, nothing major, but I’d say they were growing and are continue to growing nicely on their own.
Robert Kosowsky – Sidoti & Company, LLC: All right. Thank you very much.
Ronald A. Robinson: Sure.
Operator: And at this time there are no further questions over the phone.
Ronald A. Robinson: Okay. Well, again thank you for joining us very much. We look forward to speaking with you on our fourth quarter year-end conference call coming up in another quarter, but appreciate your value support for us. And thank you very much for being on the call.
Operator: Thank you for your participation. This does conclude today’s call.